Operator: Ladies and gentlemen thank you for standing by. Welcome and thank you for joining the CD Projekt Group Q1 2022 Results Conference. [Operator Instructions] The presentation will be followed by a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Adam Kiciński, President of the Board and Joint CEO. Please go ahead.
Adam Kiciński: Good afternoon. Welcome to the call on CD Projekt Group’s financial results. Today we will briefly sum up the first quarter of 2022. My name is Adam Kiciński, and I’m Joint CEO. I’ll run this presentation together with Piotr Nielubowicz, our CFO. The webcast of the presentation along with the audio feed are also streamed as I speak. You can find them on our corporate website, cdprojekt.com and on our IR YouTube channel. Okay let’s start from Cyberpunk. On the 15 of February, we released the next-gen update together with the big patch 1.5. The next-gen update enriches the game with a native next-gen features making Cyberpunk an amazing next-gen experience. At the same time patch 1.5 would bring many improvements was released across all platforms. The impact of the next-gen update by end patch is definitely positive, both on game sales and its perception among players. On Slide 3, you can see the sales of Cyberpunk for major platforms in Q1. The quarter is divided in two halves as we launch the update in the middle of quarter. The material impact on sales and boost on consoles are clear. Although the transition is already visible, we believe that there are still many more console players to be reached. And this is our goal with our next large update 1.6 plan for this year, and then an expansion plan for the next one. Of course, those are to be released on PC as well. Moving on to Slide 4, I would like to remind you about another important event of Q1. In March we signed a strategic long-term partnership with Epic Games. It enables us to Unreal Technology in our future games, strengthening our technological core and derisking the whole process fits perfectly into our RED 2.0 transformation. Already, at this early stage, we can see an improvement in terms of efficiency; I mean the development of the creative layer of the game. Right now we are working with the Epic’s programmers to make sure that the engine is properly tuned and scalable to our needs. This is important as our strategy is to continue creating powerful, open-world RPGs. Additionally, we are also developing our own in-house pipelines and tool set, like for example, narrative design tools. So our next Witcher game is being developed on Android 5. Please go to Slide 5. The initial research phase of this project started last year. And in Q1, we began the pre-production. This means that we started capitalizing development expenditures as pre-production is the first phase of development. For now, there are over a 100 developers involved in the project, and we're really happy with the progress. Talking about developers’ involvement in ongoing project, please move to the next slide. As you can see, Cyberpunk expansion is our most intense project at the moment, of course, headcount wise. At the same time, we moved part of the team responsible for servicing Cyberpunk to new projects. And there is one new thing, a small team finishing The Witcher 3 next-gen edition. This game is scheduled to be released in the fourth quarter this year, of course. Let's move on. Now Slide 8. We plan two releases in the second half of 2022. The first is the anime series, CyberPunk: Edgerunners, which we've created with the Japanese studio Trigger. It will be aired on Netflix and we believe it will add even more recognition to our U.S. IP. The second one is the next-gen version of The Witcher 3. Of course, this upgrade will be free for everyone who has already bought the game. Also in the second half of the year we’ll be launching the marketing campaign for the Cyberpunk expansion. So, stay tuned and look forward to some extra news from Night City. Now let's sum up the financials. Piotr the floor is yours as always.
Piotr Nielubowicz: Thank you, Adam. Now I'll guide you through our results for the first quarter of 2022. Let's start with the Slide 10 consolidated profit and loss account. In total, our sales revenues reached 216 million złoty, which is 9% more than our previous best ever first quarter in 2021. However, what is even more important is the structure of our Group revenues was changed towards farther increasing the share of revenues from our own product. We stand for the most profitable part of the business. It's also worth mentioning that the compared period was the time immediately following the premier of Cyberpunk when we still observed the high curve of post release sales of the game. This year during Q1, thanks to the release of the next-gen edition of Cyberpunk, our revenues from sales of products, which nearly 174 million złoty and grew by 90% versus the first quarter of 2021. At the same time revenues from sales of goods and materials, mainly representing GOG and our merchandise store activity decreased. The main measurable reasons for that are: first, revenues booked by GOG on the PC version of Cyberpunk came naturally lower this year as the next-gen update, mostly influenced our console sales. Second, GWENT related revenue attributable to GOG also decreased after the consortium agreement was terminated. And third this year, the digital store recorded lower revenues from new releases from external partners, as some of the new releases planned for Q1 were moved to future periods. And also suspension of sales to Russia and Belarus added EBITDA on top of the above. Costs of products and services sold amounted to 18 million złoty. Both this and last year, most of the amount comes from depreciation of past expenditures on the development of Cyberpunk. However, this year we no longer have depreciation of initial grant development expenditures, which had already been fully depreciated by the end of 2021. Cost of goods and material sold came mostly from GOG and decreased in line with sales, or even a bit more. All in all, our gross profit from sales exceeded 168 million złoty, which is one fourth more than a year ago. Moving to the operating cost. In 2022, our selling cost decreased to 61 million złoty. The high amount in Q1 2021 was largely influenced by Cyberpunk servicing activity, which as we indicated previously is to decrease this year. At the same time cost associated with broadly speaking, our Cyberpunk publishing activity increased to over 21 million złoty as a consequence of the next-gen release related communication promotion. Next slide, in Q1 2022, we also saved on the G&A costs. The decrease was driven by two main factors. First among others we include in this line item cost related to the valuation of the incentive program based on CDR stock, which declined due to the change in our estimates regarding meeting results goals of the program, which had been done as of the end of 2021. Second, decrease of early phase research costs related to our future products. That was recorded parallel to the increase of expenditures on capitalized projects in development. Moving further this year the result on financial activity was more favorable to us, mainly due to the recent increase in interest rates, allowing us to add over 6 million złoty to the total result. At the same time, the reported income tax for the period and the effective tax rate was higher than what we had observed in previous quarters. The increase was mainly caused by withholding taxes, paid and brought by our international licensees. Having received confirmations of withholding tax payments this year based on existing treaties and double taxation, we deducted from our local corporate tax liabilities as much as was allowed. Obviously, the local R&D and IP Box tax regimes, which allow for preferential local taxation, give us less capacity to deduct following withholding taxes. An excess of withholding tax that was not possible to be deducted locally was recorded in our P&L statement. The total amount of such excess in Q1 this year reached nearly 16 million złoty. The amount is related mainly to payments of licenses we received after the premier of Cyberpunk on which respected tax payment confirmations were delivered to us this year. Based on the share of our business partners, from whom we received the tax payment confirmations in Q1, I estimate that we might already be close to half of the total excess withholding tax amount we may see later this year, presumably mostly in Q2. This is obviously a rough estimation and the final amount will depend on actual tax payment confirmations to be received from our licensees. All in all, our net profit for the first quarter of 2022 reached 69 million złoty and was over two times higher than the net profit for the first quarter of last year. While GOG posted neutral results, most of the profit was generated by CD PROJEKT RED [ph]. Let's now move to the next Slide Number 11. Our consolidated balance sheet. In Q1 of 2022, our balance of expenditures and development projects increased by nearly 17 million złoty. This figure represents the balance of new expenditures and development projects of the quarter that reached over 35 million złoty, less depreciation of past projects in the amount of 18 million złoty. Other fixed assets were at a relatively stable level over the last quarter. So there is nothing in particular I would like to comment on Q [ph]. At the same time among working assets, our receivables decreased by nearly 57 million złoty, which is due to a natural, annual cycle after Q4. The total value of cash deposits and T-bonds included in the three positions marked with an asterisk is summed up under the table to the amount of 1.262 billion złoty as of the end of March, 2022. This means that our financial reserves grew by 108 million złoty during first quarter. Let's go to the other part of the balance sheet Slide 12. As of the end of Q1, our Group equity had a value of nearly 1.960 billion złoty and grew by nearly 66 million złoty, mainly driven by our profits for the period. Another change among our liabilities section, actually involved liabilities themselves, which increased 24 million złoty. This was related mainly to the PROJEKT RED, its operating business and purchases of fixed assets done at the end of the quarter, as well as updated revaluation of instruments, hedging the currency risk. And this time there is finally not much to elaborate on our provisions. We no longer have any past released sales provisions. Cost provisions slightly decreased by nearly 10 million złoty. At the same time provisions for bonuses mostly based on our results, increased in line with Q1 profits. The total amount still includes 2021 team bonuses that had not been paid by the end of March. Now please go to the next Slide 13. CD PROJEKT RED’s expenditures on research, development, and service of released games presented quarterly to better show the changes recently happening at this year. The purple part represents our total cost of servicing our released games – mainly Cyberpunk and GWENT. The amounts related to GWENT is relatively stable, while the Cyberpunk allocation declined, leading us finally to the release of Patch 1.5 along with the next-gen version of Cyberpunk. At the same time, the proportion of the team, therefore, the total expenditures related to future projects keeps constantly growing. It’s represented by both the green slides, early phase research costs and the blue part development phase of new projects. And now our simplified cash flow on Slide 14. Cash-wise, 69 million złoty of net book profit for the period was supported by the nearly 22 million złoty of P&L included depreciation for the period, 44 million złoty reduction in receivables that we collected in Q1 and 11 million złoty exchange of nonfinancial operational liabilities and provisions. Two main outgoing cash drivers not included directly in the P&L statement and the adjustments I just mentioned were expenditures on development projects in cash terms, nearly 28 million złoty and purchases of intangible and tangible assets, fixed assets. Altogether, our financial reserves increased by 108 million złoty, up to 1.262 billion złoty in cash, bank deposits and T-bonds as of the end of March 2022. And this leads us directly to the recent announcement on the Board’s recommendation on allocation of results reported for 2021. Keeping in mind our current cash position plans to developments and investments yesterday, the Board after the product recommended to allocate 135 million złoty to the reserve capital and to pay out a dividend of nearly 101 million złoty. We continue to believe that dividend is the most straightforward instant and demographic way of sharing profits with all the shareholders on the same terms. That’s all from me for now. Thank you for your attention. Let’s now move on to the Q&A section.
Operator: [Operator Instructions] The first question is from the line of Ken Rumph with Jefferies. Please go ahead.
Ken Rumph: Hello gentlemen. Can you hear me okay?
Adam Kiciński: Yes, we can hear.
Ken Rumph: Sorry. Okay. So firstly, I was just going to ask, although it’s not a large number, still a relatively large team involved in Spokko, big for instance, in The Molasses Flood. I’m just a little bit surprised that that’s as noticeable a part of the total development teams is. Secondly, you mentioned that you’ve begun capitalizing work on new projects such as a future Witcher game. Sorry, did that begin at the beginning of January or during the half – during the quarter, sorry? And then finally, on working capital. Last year was kind of unusual because obviously, we’d have Cyberpunk at the end of the year. I was thinking that you might have a bigger working capital position because the next-gen version came out halfway through the quarter, and therefore, there’d be receivables to come in. Can you just explain a little bit more about why you’ve got the big inflow? Is it purely because the fourth quarter is a large number and I forget quite how it looks. But I was expecting, in a way, perhaps the opposite move that there’ll be money still to come in from next-gen sales in the second half of the quarter. Thank you.
Adam Kiciński: Thank you for questions, Adam, here, and I’ll take the first one and Piotr will take the second and the third. So in terms of Spokko, first and foremost, keep working on the The Witcher: Monster Slayer, we’ve just released, like hours ago, a significant update to the The Witcher: Monster Slayer. And at the same time, Spokko is working on a new project. And it’s an early phase, but let’s say, research phase, but they are working on something else as well. So that’s why the size of the team is as it is. Piotr, can you take the second?
Piotr Nielubowicz: Yes. When did we start capitalization of the next Witcher project? It was at the end of the first quarter, as far as I remember that was in March, and it is influenced in the March numbers. So rather end than the beginning of the quarter. And the second question regarding the inflows from – the third question regarding the inflows from the next-gen additional consoles, honestly speaking, I do not precisely remember what are the payment terms with console platform owners, whether the revenues for February were already paid in by the end of March or maybe they skipped to the beginning of April. So, I cannot precisely answer the question. And at the same time, it’s kind of difficult to clearly distinguish what are the decrease in receivables, which we recorded and presented was only related to annual cycle, Q4 versus Q1, I believe that was the main reason. And most of the Q1 revenues were still presented in the receivables line.
Ken Rumph: Okay. If you permit me one follow-up of a more general nature. Regarding the first expansion to Cyberpunk, you’ve said in the past, I think, that – in hindsight, you delivered a lot of value, a lot of play time with the expansions to The Witcher with the Blood and Wine and the Assassins of Kings or whatever it was. And that perhaps you could have charge more for them and indeed done more expansions. Can you say anything about your ambitions for the scope of the expansion to Cyberpunk and perhaps pricing? We’re seeing expansions to premium games costing $40 now, which will be a lot more than The Witcher was. Thank you.
Adam Kiciński: Actually, it’s too early. I mean we want to announce the title later this year. The title is not announced. I mean the title from the expansion. And then we will talk more about the pricing, about the content, the whole concept. It’s too early to share this information. Of course, we have everything plan because very advanced, but we don’t want to reveal just one target because then gamers will take it and they will start discussing this. So everything will be…
Ken Rumph: Understood.
Adam Kiciński: We’ll provide gamers and investors with one nice initial package and starting the campaign.
Ken Rumph: Okay. That’s kind of what I expected. Thanks very much. Thank you.
Adam Kiciński: Thank you.
Operator: The next question is from the line of Nick Dempsey with Barclays. Your question please.
Nick Dempsey: Yes. Good evening guys. I’ve got a few. So first of all, on Slide 3, you show the boost to units on consoles from the launch of the next-gen version of Cyberpunk. Was that really driven by a spike in the second half of February, beginning of March, which had already subsided before the end of the first quarter? In which is the kind of run rate of sales in the two months since the end of March, more kind of along the run rate that we saw in the beginning of the year to the 14th of February that kind of partner. I just wonder if you could give us some kind of color on how that is shaping. Second question, can you give us – are you giving us an indication in the past of sort of what proportion of revenues from sales of products came from Cyberpunk? I just wonder if you could give us a rough percentage there. And then just kind of a follow-up to one of Ken’s questions. Should we expect the expenditures on development projects in the cash flow to step up notably in the coming quarters as you start to capitalize the people working on the new Witcher project? Or is that not large enough to make that much of a difference? Just want to understand how we should think about modeling that for the coming quarters.
Piotr Nielubowicz: Yes. This is the first question related to revenues on next-gen version of Cyberpunk. And I would repeat what we already said during our annual conference that yes, the initial February revenues, they seem like a natural new release spike. And later on, obviously, the amount of revenues on the next-gen version got stabilized. But what we see after a couple of weeks from the release is that right now at the Sony digital storefront, for example, because digital revenues are easiest for us to monitor. The next-gen attributable revenues are significantly or visibly higher than what we still observe that is coming from the [indiscernible]. So from this perspective, it looks like we could offer – we started offering the product to a new group of customers interested in the next-gen experience. The second question was about stepping up with the expenditures and development projects. We are not giving precise guidance on what the future will bring. But I believe the chart I presented just now showing the trends over the last five quarters, show the direction. The more people who work on new projects, the higher the expenditures and developing them capitalized ones are. And at the same time, the servicing costs that go directly into the P&L keep decreasing over the time. So that’s the guidance we are ready to make for now.
Nick Dempsey: I just had a little question in there about the proportion of revenues from sales of products that came from Cyberpunk. I don’t know if you could maybe address that.
Piotr Nielubowicz: Okay. So, we were not revealing this data. But as you may expect, Cyberpunk is our leading revenue generator and responsible for a big part of the revenue included in Q1.
Nick Dempsey: Thanks. That’s great.
Operator: The next question is from the line of Omar Sheikh with Morgan Stanley. Your question please.
Omar Sheikh: Hi everyone. I’ve got three as well, if I could. Maybe starting with the expansion; could you perhaps give us a little bit of sense of how you think the development process is going so far? How far through the process do you think you currently are? How happy are you with the way it's going? And do you have a sense of the timing of the release that you are also targeting the next year, is it first half, second half, any color there would be very helpful? And secondly, you mentioned that you are planning to do some pre-release marketing for the Cyberpunk expansion in the second half of this year. Could you maybe just talk a little bit about what you are anticipating there? Is it sort of Q4? How big might it be? How you're sort of thinking about the scope? And then finally just want to ask about the games engine, given your kind of positive comments that you made on the initial experience with Unreal, how are you thinking about, how it might fit into your technology plan if you like over the next few years? Do you still think that your – its right to run two games engines? Does it make sense? Do you think it might make sense at some point in the feature to, to rationalize? Helpful if you get some color on that. Thanks very much.
Adam Kiciński: Hi, Omar. I'm Adam I’ll answer that. So first two questions about expansion were about campaign and one about the production. So I can say that the production is run most in agile, and we see that that – we see the progress in a different way. So we are happy. We are happy with the production, with how the game is produced. There is still some time to the finish. So I'm judging on what we have now. In terms of campaign I can't review anything, I mean, we are preparing to start it and once the time will come, we'll start. So [indiscernible] but I can provide you with any more call on this. And game engine, this is the question I can precisely answer. Cyberpunk expansion is the last product based on web engine. Any further product will be Unreal. So starting from, I mean, which are – next, whichever is on Unreal and next products will be on Unreal and Unreal fits to our needs as I said, during my part of the speech. We already see some improvement; it's very early stage, right? I mean, very, very initial stage, but even now we can see some improvement in processes. And of course, very important part is to secure together with epic programmers to be sure that Unreal 5 is able to support our ambitions, our designs and that's the goal. I mean, we have – we share this goal together with Epic that's why we call this partnership strategic. And at the same time as I said we are preparing our own tools on our end as securing very specific features specific to our games, for example, narrative, narrative tool, so yes.
Omar Sheikh: Okay. That's clear. Thank you for that. Adam, I just wonder if I could follow up on the expansion question. So could you just tell us when you plan to announce the launch date? So you said you were going to say what the title is maybe this year, but do you think you're going to kind of give us a long-lead time or short-lead time given the experience obviously if the main game is launched, just be helpful to get some cover there? Thanks.
Adam Kiciński: I'm not sure if I can answer really. I mean the content of the Beat Campaign [ph] not to be reviewed today. So any information about this thing, I mean, I cannot share any information about, whether we will announce the title together with the price or with the precise dates this is something I can't share now, sorry.
Omar Sheikh: Okay. No, it sounds good, thanks a lot for that cheer.
Adam Kiciński: Thank you.
Operator: The next question is from the line of Jamie Bass with Berenberg. Your question, please.
Jamie Bass: Hello guys. Yes, most of my questions have already been covered, so I've just got the two at the last set of results and there was a bit of a question about your plans for headcount expansion. It sounds like your headcount was relatively stable. Could you give an update on that? I'm assuming from the increased R&D cost that you've started hiring more so maybe how that's going and what the plan is for the rest of this year, in terms of additional headcount on R&D? And then similar to next question but on GOG.com so obviously it was a bit weaker in Q1, what are you think into Q2? And do you expect that there'll be a sort of reacceleration from GOG for the rest of the year? Thank you.
Adam Kiciński: So I'll take the first one. So of course these days especially in post – we call it post-COVID, pre-COVID, but let's say post-COVID era with home office and all changes on the market attracting retaining employees are challenging, but at the same time there are new opportunities. So we started hiring remotely. So we are – our goal is to come back on the path of growth, we have to actually. For now we are good. I mean, for the stages of productions we have now we are good, but what we have to grow. Our goal is to develop two AAA titles at the same time, so we need more developers. And we have a very solid strategy for this, but this is an internal strategy. So I can share, but we think we have a precise idea how to do that. Piotr, will take the second or shall I do it as well?
Piotr Nielubowicz: Yes. As regardless GOG expectations for the next quarter and the rest of the year; we do not share directly any guidance on future revenues. Obviously the GOG works hard on improving the results and on the safe side and on the popularity of the store. A good news which I can share with you in part is the GOG contracted with a new supplier of games. And you can see if you dig more into details of the GOG segment balance sheet you can – you can see an increase of deferrals on GOG sites. This is due to the contract signed and new products being prepared for GOG to be released to customers. And I hope it'll influence future revenues and the catalog GOG offers to its customers.
Jamie Bass: Excellent, thank you very much.
Operator: The next question is from the line of Matthew Walker with Credit Suisse. Your question, please.
Matthew Walker: Thanks guys. Thanks for taking the questions. So the first one is, if you are going to start marketing for Cyberpunk expansion in Q4, does that imply that you're going to do the launch in the first half of 2023, or is it like a really small campaign and then it builds through the first half of the year, so it could be in the second half? That's the first question. Second question is, can you give us an idea on the tax rate for the full year in 2022 and 2023? And then use of the Unreal Engine, do you think that that speeds up the next Witcher game or does it slow it down or it doesn't really make any – doesn't really make any difference?
Adam Kiciński: Hi, Matthew. Adam here. So I'll take the first one. We haven't said that we will start in Q4. We said in the second half of year. So, and really I'm repeating myself, I know but no further details is to be shared today. In this regard, we are eager to start talking about our next title, really eager, because we were fairly silence for quite a while, but we want to wait in the moment we are ready and we'll start it. Piotr, the second is yours, I guess.
Piotr Nielubowicz: Yes. The second is regarding tax rate for 2022 and 2023. Again, it's a question about the future and Polish tax regulations are really complex and we are not guiding on what preferences we will be able to use and into what extent. On top of that there is the withholding tax issue, but in broad terms I would say that the standard tax rate in Poland is 19. The preferential IP Box tax regime allows us to tax our corporate incomes in 5%. So the affected tax rate should be somewhere within the brackets. And Adam is here back. And the third one is it's easy to answer, that I wouldn't expect any major changes in the pace or in the hands [ph] of production, but I truly believe that with Unreal, we can run production in a much smoother way. And then with a huge support from my technical support, and we can be more focused on our non-technological creative players. So I expect that the process will much more secure, predictable and run in a nice manner. Briefly in the same time bracket, but at the end with much more secure effect – final effect.
Matthew Walker: Okay. Thank you very much.
Adam Kiciński: Thank you.
Operator: [Operator Instructions] The next question is from the line of Matti Littunen from Bernstein. Your question, please.
Matti Littunen: Hello, good evening. Just the one left on GWENT. I was wondering if you could just give us an update on the overall trajectory of the game since the successful Android launched in 2020. So should we see the overall pattern of engagement as a slow managed decline from that high base back then or is there a different pattern? Now if we smooth out, for example, the short-term effects from new season launches and so on, how should we think about the kind of trajectory of GWENT? Thanks.
Adam Kiciński: Hi, we continue to develop GWENT. And as for the current year, we are planning to release a single-player mode which we call Project Golden Nekker. And this is what the GWENT team is focused on and will share information about this soon. Yes. Actually, this is everything I can share about GWENT.
Matti Littunen: Sure. I was going to add that ignoring the impact of Project Nekker but I appreciate if the information is not to be shared. Thank you.
Adam Kiciński: Thank you.
Operator: The next question is from the line of Tomasz Rodak with DM BOŚ. Your question please.
Tomasz Rodak: Yes, hi. Good afternoon, can you hear me well?
Adam Kiciński: Hi, hello Tomasz. Yes, we can.
Tomasz Rodak: Yes, first of all, I've got one follow-up question for this single-player GWENT project because you haven't put it; I guess you haven't put it in the slide where you presented the projects that are supposed to debut this year. I wonder if it means that it's not going to happen this year. Because I guess you were saying that it was supposed to debut this year, correct me if I'm wrong. And the second question is a general question about the market. Could you give us some light on the current state of the gaming market from your side, from your point of view? Can you see any slowdown in sales? What are your thoughts on the market in this post-COVID, high inflation possibly even a recessionary period. Thank you.
Adam Kiciński: Adam here. I'll take both, I guess. So Yes, GWENT maker is not in slide because it's fairly tiny event in our business. That's why. So it's planned for this year. But generally, GWENT in our results is not very important, as everyone knows. So we continue supporting GWENT, but this is – as a business line is fairly small. That's why sometimes we just don't talk about it and our thoughts about gaming market. Well, it's not easy to judge from our perspective because, for example, in GOG, it's okay. I mean – but in our main games, as Cyberpunk has this kind of history, we have no reference. We see that the next-gen will be successful, but having no reference, it's hard to judge. And the first quarter was very competitive. That's for sure. But this is not due to the COVID that there were many releases and this is, I think, everything I can say.
Tomasz Rodak: Okay, thank you.
Operator: There are no further questions at this time. And I hand back to Adam Kiciński.
Adam Kiciński: Thank you very much. And now we'll read the questions that are in the chart, and then we'll answer them. So the first question is, can you please give a number of sales of CP77 sales in the first half and second half of the quarter. Piotr, this is for you.
Piotr Nielubowicz: Yes. As you know, we are not sharing individual sales results for separated quarters. When we come to certain milestones, then we announced, what is the most updated results, which we did recently. And for now, there are no individual sales data included in our Q1 report.
Adam Kiciński: The next question, what do you expect from gaming sector in general for the rest of the year? Recently, Microsoft was guiding for a decrease yesterday, NVIDIA shared similar thoughts. Some is struggling with the production of consoles and so on. Yes, I mean, definitely for hardware manufacturers, not only with – in our many industries, it's a tough time, definitely for pure gaming companies like ours, we don't see it like this. I mean in our case, especially in terms of – in case of Cyberpunk, everything depends on how we launch next part, how we start the campaign of the expansion, how the sentiment around the game will be changing. And this is much more important than a general situation on the market. Same with Witcher 3, it's about how the next-gen version of the game will be received by gamers. So – so it's more is in our hands and more depends on what we will deliver. So we'll reach our next question is from Konrad Krasuski, Bloomberg News. First does company plan to set new management incentive plan after it admitted targets for 2020 until 2025 program are not achievable. Second, how do you perceive consolidation driving global gaming industry after sentiment to computer game studios weekend? Would CDR be interested in larger deals given its last cash reserves? Or do you stick to your previous approach to be very selective only? And third, what is the situation with wage pressure in the industry in Poland and elsewhere amid inflation? How difficult it is to get employees? What trends can you see? How difficult is to keep developers at work? So the first question was about the management incentive program. I wouldn't claim that management, but in general, the incentive program based on our stock. Yes, we analyze different options, and we evaluate what could be the next incentive program for CD PROJEKT Group. But as for now, this is still a work in progress, and no specific decisions were made. So we work on it, and we look for the best fitable solution for the group.
Piotr Nielubowicz: Sure. I'll take the second and the third. So in terms of consolidation, of course, we – let's say when we see what's happening. But we are really focused on our internal plans, and that's the key – to deliver our strategy to make it even more ambitious. And in terms of deals, I think we'll stay being very selective. Selective not necessarily, only focus on small things, but we are interested in supporting our own strategy. So if there is a chance to make a deal that will speed up or strengthen our strategy in building grade enduring franchises through AAA games and everything around, yes, definitely. Let's talk, but it has to be directly visibly supportive to our strategy. And the third one was wage pressure. There is a wage question. Yes. There is – especially the very new phenomenon of working from home, which makes things a bit different, a bit new because some people can work from Poland, having Western salaries. It's already happening. We don't know if it's new trend or just a temporary phenomenon after COVID. And we introduced a new model that will allow to work people from home if they fit and if it fits to what they do. And it's opportunity on the other hand as well, so we can hire more and for more regions because we don't have to bring them towards or to our other hubs. But we see wage inflation. But I have to add one thing. In our business, in AAA business, it's less about cost. Of course, we have to keep them on in control and so on. But we are – our goal is to deliver great games. And then when we are successful, then sales is – I mean return of investment is so huge that wages, which influence cost of production or less relevant to the final P&L of the type.
Adam Kiciński: Okay. There are no more questions. So thank you very much, and see you all. Let's hear on the H1 results at the end of April, right? No, sorry of August, sorry end of August. Bye-bye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.